Operator: Welcome to HollyFrontier Corporation's Second Quarter 2019 Conference Call and Webcast.Hosting the call today from HollyFrontier is George Damiris, President and Chief Executive Officer. He is joined by Rich Voliva, Executive Vice President and Chief Financial Officer, Tom Creery, President, Refining and Marketing and Jim Stump, Senior Vice President, Refining.[Operator Instructions]It is now my pleasure to turn the call over to Craig Biery, Director, Investor Relations. Craig, you may begin.
Craig Biery: Thank you, Stacey. Good morning, everyone, and welcome to HollyFrontier Corporation's second quarter 2019 earnings call.This morning we issued a press release announcing results for the quarter ending June 30, 2019. If you would like a copy of the press release, you may find one on our website at hollyfrontier.com.Before we proceed with remarks, please note the safe harbor disclosure statements in today's press release. In summary, it says statements made regarding management expectations, judgments or predictions are forward-looking statements. These statements are intended to be covered under the safe harbor provisions of federal security laws. There are many factors that could cause results to differ from expectations, including those noted in our SEC filings.The call also may include discussion of non-GAAP measures. Please see the press release for reconciliations to GAAP financial measures. Also, please note any time-sensitive information provided on today's call may no longer be accurate at the time of any webcast replay or rereading of the transcript.And with that, I'll turn the call over to George Damiris.
George Damiris: Thanks Craig, and good morning everyone.Today we reported second quarter net income attributable to HollyFrontier shareholders $197 million, or $1.15 per diluted share. Certain items detailed in our earnings release, decreased net income by $175 million on an after-tax basis.Excluding these items, net income for the current quarter was $372 million, or $2.18 per diluted share versus adjusted net income of $259 million, or $1.45 per diluted share for the same period last year.Adjusted EBITDA for the period was $647 million, an increase of $162 million compared to the second quarter, 2018. This increase was principally driven by strong gasoline and diesel margins across our company along with our first full quarter contribution from Sonneborn.The Refining and Marketing segment reported adjusted EBITDA of $556 million compared to $385 million for the second quarter of 2018 strong product margins in all of our regions, resulted in a consolidated refinery gross margin of $19.64 per produced barrel, and 19% increase compared to the $16.57 for the same period last year.Our Lubricants and Specialty Products business reported adjusted EBITDA of $29 million despite weakness in the base oil market. Rack Forward adjusted EBITDA was $64 million for the quarter and adjusted EBITDA margin was 13% of sales.The strength in Rack Forward earnings was driven by improved finished product margins. Our integration of Sonneborn is progressing well and as of July 30, we have achieved run rate synergies of $9 million and continue to expect long-term synergies of $20 million per year.Holly Energy Partners reported EBITDA of $89 million for the second quarter compared to $82 million in the second quarter of last year. Higher crude oil pipeline volumes around the Permian Basin in our crude pipeline systems in Wyoming and Utah contributed to a 10% increase in volumes year-over-year.During the quarter, we returned $246 million of cash to shareholders through our regular dividends and share repurchases. Looking forward, we will continue our focus on improving reliability across our refining system and successfully integrating Sonneborn further strengthening our earnings profile. With no major planned downtime until September, our refineries are well positioned for strong operational and financial performance in the third quarter.I'm now turning the call over to Jim for an update on our operations.
Jim Stump: Thank you, George.For the first quarter, our crude throughput was 453,000 barrels per day within our guidance of 445,000 to 455,000 barrels per day. Crude throughput was impacted by the two-week precautionary shutdown at our Tulsa Refinery due to flooding in the Tulsa area.Our consolidated operating cost of $5.73 per throughput barrel was $0.16 lower versus last year. In the Mid-Con we ran 264,000 barrels per day of crude. OpEx per throughput barrel was $4.92 and was elevated versus the same period last year due to the two-week outage in the late May and early June at Tulsa. Our El Dorado Refinery's for the quarterly crude charge rate in the second quarter, averaging a 158,000 barrels per day.In the Southwest, we ran 109,000 barrels per day of crude and improved our operating expense per throughput barrel to $4.63 versus the $5.25 we recorded in the second quarter of 2018. In the Rockies, we ran 80,000 barrels per day of crude. Our operating expense was about $9.84 per throughput barrel a 26% decrease over the same period last yearWe have planned maintenance at Navajo and the planned turnaround at Cheyenne both scheduled to begin in September and we expect to run between 440,000 and 450,000 barrels per day of crude in the third quarter.I will now turn the call over to Tom for an update on our commercial operations.
Tom Creery: Thanks, Jim and good morning, everyone.As Jim previously mentioned in the second quarter of 2019, we ran 453,000 barrels a day of crude oil. This was composed of 35% Permian and 20% WCS and black wax crude oil. Our average laid-in crude cost was under WTI by $3.35 in the Rockies, $0.25 in the Mid-Con and $0.94 in the Southwest.In the second quarter of 2019 gasoline inventories in the Magellan system started the quarter at 7.7 million barrels and ended the quarter at 6.9 million barrels. Current inventories of Group III gasoline remain relatively static at 6.7 million barrels. This is in keeping with the five-year average volume.Group III diesel inventories rose by 1.1 million barrels throughout the period, to finish at 8.1 million barrels. Second quarter 3-2-1 cracks in the Mid-Con were $19.99, $31.30 in the Southwest and $32.19 in the Rockies. In our Southwest and Rocky regions, we saw higher margins as a refinery operation issues on the West Coast affected markets in both Phoenix and Las Vegas.Crude differentials compressed across the heavy and sour slates during the second quarter. In the Canadian heavy market second quarter crude differentials for WCS at Hardisty averaged $11.13, slightly below first quarter levels. Apportionment on the Enbridge system remain high at 40% despite the continuation of production cutbacks by the Alberta government.The forward market for WCS remains wider as the market foresees incremental crude production coupled with perceive positive impact from IMO 2020. We continue to be able to purchase and deliver adequate volumes of price-advantaged heavy crude oil from Canada to meet our refining needs.Canadian heavy and sour runs average 76,000 barrels a day at our plants in the Mid-Con and Rocky regions. We refined approximately 160,000 barrels per day of Permian crude in our refining system composed of 100,000 barrels per day at the Navajo complex and 60,000 barrels per day delivered by the Centurion pipeline to our refinery El Dorado.Midland differentials averaged the quarter at $2.13 under WTI, and currently -- we see the same differential trading at around $0.70 below Cushing at new pipeline capacity is expected to come on stream. We anticipate for the remainder of this year, the differential to narrow as additional pipeline comes on. Our rent expense for the quarter was $31 million, a $25 million decrease versus the $56 million in the same period last year.And with that, let me turn the call over to Rich.
Rich Voliva: Thank you, Tom.As George mentioned, in the second quarter included a few unusual items. Pretax earnings were negatively impacted by a goodwill impairment of $153 million, a lower of cost or market charge of $48 million and Sonneborn integration costs of $4 million. A table of these items can be found in our press release.For the second quarter cash flow from operations was $753 million including turnaround spending of $31 million. HollyFrontier's stand-alone capital expenditures totaled $50 million in the quarter, producing free cash flow of $696 million.This second quarter's strong free cash flow allowed us to return a total of $246 million of cash to shareholders, comprised of a $0.33 per share, regular dividend totaling $57 million as well as the repurchase of approximately 4.5 million shares of common stock totaling $189 million. As of June 30, we had approximately $509 million remaining on our share repurchase authorization.Over the past 12 months, while continuing to invest across our three businesses. HollyFrontier has returned over $800 million of cash to shareholders through both dividends and share repurchase, representing a cash yield of 10%.At the end of the second quarter, our total cash balance stood at $915 million which is above our target cash balance of $500 million. This strong cash position, along with our undrawn $1.35 billion credit facility puts our total liquidity at over $2.3 billion. As of quarter end, we had $1 billion of standalone debt and a debt-to-capital ratio of 14%.Total HEP distributions received by HFC in the second quarter were $37 million a 2% increase over the same period in 2018. HollyFrontier owns $59.6 million HEP Limited Partner units, representing 57% of HEP's LP units for the market value of $1.7 billion as of last night's close.Few guidance items for 2019, we continue to expect to spend between $470 million and $510 million for both stand-alone capital and turnarounds and Refining & Marketing business $40 million to $50 million at HollyFrontier Lubes and Specialty and $30 million to $40 million of capital at HEP.We anticipate an elevated cash balance through the third quarter a head of planned maintenance at both our El Dorado and Cheyenne Refineries into the fourth quarter. In our Lubes and Specialty Products business, due to both the continuing sales impacts of the flooding related shutdown at our Tulsa facility as well as previously unplanned maintenance at Tulsa lube extraction unit in October, we are revising our annual Rack Forward guidance to $240 million to $260 million.We continue to expect $25 million to $30 million of Sonneborn integration costs implying another $9 million to $14 million, which will stretch into 2020. In the second quarter due to the goodwill asset impairment our effective tax rate was slightly elevated to 29% based on this we now expect our full year effective tax rate to land at 25% to 27% and to revert back to normalized levels of 24% to 26% in 2020.And with that, Stacy, we're ready to take questions.
Craig Biery: Thanks, everyone. We appreciate you taking the time to join us on today's call. If you have any follow-up questions, as always reach out to Investor Relations otherwise we look forward to sharing our third quarter results with you in October.
Operator: Thank you. This does conclude today’s teleconference. Please disconnect your lines at this time. Have a wonderful day.